Operator: Thank you for standing by. My name is Liz, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Cytek Biosciences First Quarter 2024 Earnings Conference Call. [Operator Instructions]   I would now like to turn the call over to Paul Goodson, Investor Relations. Please go ahead. 
Paul Goodson: Thank you, operator. Earlier today, Cytek Biosciences released financial results for the quarter ended March 31, 2024. If you haven't received this news release, or if you'd like to be added to the company's distribution list, please send an email to investors@cytekbio.com. Joining me today from Cytek are Wenbin Jiang, CEO; and newly appointed CFO, Bill McCombe.  Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of the federal securities laws, including statements regarding Cytek's business plans, strategies, opportunities and financial projections. These statements are based on the company's current expectations and inherently involve significant risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward-Looking Statements in the press release Cytek issued today and in Cytek's filings with the SEC.  This call will also include a discussion of certain financial measures that are not calculated in accordance with generally accepted accounting principles. Reconciliation to the most directly comparable GAAP financial measure may be found in today's earnings release submitted to the SEC. Except as required by law, Cytek disclaims any duty to update any forward-looking statements whether because of new information, future events or changes in its expectations. This conference call contains time sensitive information and is accurate only as of the live broadcast, May 8th, 2024.  Before Wenbin speaks, I would like to mention that Cytek will be participating in a variety of industry and academic conferences, meetings and seminars throughout 2024. While these are primarily geared to the scientific community, they may offer an opportunity to interact with uses of our technologies to learn by Cytek instruments are so highly valued by our customers. There is a cost to attend most events, and we have a limited number of spaces to accommodate members of the financial community. So if you are interested in attending, please contact me.  With that, I would like to turn the call over to Wenbin. 
Wenbin Jiang: Thanks, Paul. Welcome, everyone, and thank you for your interest in Cytek. On the call today, I will discuss our performance for the first quarter of 2024 and the progress achieved on our strategic objectives to drive sustainable growth and profitability. Then I will turn the call over to Bill for a more detailed look at our financial results and our outlook for 2024 before we open it up for Q&A.  Our strategic priorities in 2024 are centered on strengthening our competitive position with an eye toward improving operational leverage. We are focused on driving revenue growth, margin expansion and the capital efficiencies. These objectives are part of our balanced business strategy to deliver sustainable profitability and maximize free cash flow.  Turning to specifics. In our first quarter revenue results, we achieved $44.9 million, representing growth of 21% year-over-year. Organic revenue grew 11%, excluding acquisition-related revenue of $7.6 million in the first quarter of 2024. We began to see improvement in organic revenue growth in the fourth quarter of 2023, which we were pleased to see continue into the first quarter.  Total organic revenue grew 11% in the first quarter, driven by strong growth in our services revenue from our increasing installed base. Organic revenue growth was also driven by continued growth in our products revenue. Longer term, we expect our recurring services and the related revenue will be strong growth drivers for Cytek.  In the first quarter, we expanded our global footprint with 99 organic Cytek instruments sold, reaching a total installed base of 2,247 instruments. This number does not include the thousands of installed Amnis and Guava instruments.  Ordering trends in the first quarter for both organic and the inorganic products were largely within our expectations, but we submit activity levels by region. Specifically, we experienced increased strength across Europe and China where Cytek FSP products are also becoming well established as a market leader in flow cytometry. We are seeing customers gradually returning to their level of buying patterns in these regions. However, in the U.S. and APAC, excluding China, we continued to see some elongated sales cycles.  In the first quarter, we continued to make strategic investments to increase the efficiency and the performance of our operations. In March, we announced that we opened a new 50,000 square foot facility in Wuxi, China to meet the rising global demand for our cutting edge cell analysis solutions. With this facility, we are able to increase our manufacturing capacity and foster unique vendor relationships to drive operational efficiencies and to further our competitive advantage over industry peers.  Turning to bioinformatics. Our primary goal is to enable our customers to streamline their experiment workflow through our software tools, which drive adoption and the utilization of our cell analysis solutions. One way we track our success in bioinformatics is through user engagement and demand for our core bioinformatics offerings, the Cytek Cloud. I'm pleased to report that we now have over 8,500 users, representing an average of more than 3 Cytek Cloud users per installed Cytek FSP instrument.  As a reminder, Cytek Cloud's digital ecosystem offers a comprehensive suite of special panel design tools seamlessly integrated into a centralized platform, forming a unified ecosystem. Our cutting edge solution empowers researchers to prepare and optimize their experiments remotely, streamlining the process from panel design to data acquisition.  We are also pleased to share that just this week at the CYTO conference, the primary flow cytometry conference worldwide, we launched our special panel software package through an early access program. Special panel is an intelligent design algorithm that automatically designs high-quality panels for optimal mark resolution and is optimized specifically to use onsite at FSP instruments. We expect the special panel tool to make size of instruments even easier to use and will save researchers time and money by allowing a broader range of reagents to be selected automatically for their design panels to achieve biological objectives with optimized data quality. We recently preannounced this solution on our social media channels, and we encourage you to follow the discussion there for more information.  On the clinical front, we have previously reported our success at obtaining the IVDR compliance for our single-laser, 6-color TBNK panel in the EU market. I'm pleased to report that just last week, our application for the 6-color TBNK panel on our single-laser NL-CLC instrument was approved in China. This approval is unique to Cytek and is an important development as previous regulatory approvals for TBNK analysis have been based on using two laser instruments. Using Cytek's one laser system will provide important advantages to our users in the form of lower cost, more reliable operations and the more consistent results to support laboratory standardization.  Overall, the start to 2024 was encouraging with a resumption of organic growth and the improved customer purchasing patterns, trends that we began seeing in the fourth quarter that continued through the balance of the first quarter. It is a testimony to our position as an industry leader in comprehensive cell analysis solutions and the clear underlying demand for our products. We are purpose filled to advance next-generation cell analysis with our end-to-end platform, addressing the direct needs of our customers to advance their research, and we believe this continues to be available and important differentiator for Cytek.  With that, I will now turn the call over to Bill for more details around our financials. 
William McCombe: Thanks, Wenbin. Before reviewing more details around our financials, I wanted to express my gratitude for the opportunity to join this innovative company and play a meaningful role in charting the next chapter of Cytek's continued success. I believe there is tremendous growth potential at Cytek, and I look forward to working alongside this team to drive sustainable growth and long-term value creation.  Total revenue for the first quarter of 2024 was $44.9 million, a 21% increase over the first quarter of 2023. The first quarter of 2024 included $7.6 million of revenue acquired in the Luminex transaction, which closed on February 28, 2023, and contributed $3.5 million of revenue to that quarter. Organic revenue, which excludes revenue from the acquired Luminex business, was $37.3 million in the first quarter of 2024, an increase of 11% compared to the first quarter of 2023. Beginning in the second quarter and going forward, the acquired Luminex business will have been owned for the full prior year quarter, so we will no longer break out this revenue separately.  Gross profit was $23 million for the first quarter of 2024, an increase of 9% compared to a gross profit of $21 million in the first quarter of 2023. GAAP gross profit margin was 51% in the first quarter of 2024 compared to 57% in the prior year quarter. Inventory adjustments of a one-time nature arising from the integration of the Luminex inventories into the Cytek system contributed 2% of the margin deterioration. Higher overhead expenses, which were lower than the fourth quarter of 2023 but higher relative to revenue in the first quarter, drove the remainder of the margin decline. We expect overhead expenses will remain fairly constant over the balance of the year and will gradually decline as a percentage of revenue.  Adjusted gross profit margin, which excludes stock-based compensation expense and amortization of acquisition-related intangibles, was 55% in the first quarter of 2024 compared to 59% in the prior year quarter. Operating expenses were $33.7 million for the first quarter of 2024, increasing 1.6% from $33.2 million in the first quarter of 2023, driven primarily by an increase in headcount and personnel-related expenses. Notably, operating expenses increased at a substantially lower rate than our revenue growth in the same period, demonstrating our focus on operating leverage.  Research and development expenses were relatively flat at $9.8 million for the first quarter of 2024 as compared to $10 million for the prior year period.  Sales and marketing expenses were $12.5 million for the first quarter of 2024 as compared to $11.1 million for the prior year period. The increase of $1.4 million was primarily due to increased headcount and related expenses.  General and administrative expenses were $11.4 million for the first quarter of 2024 as compared to $12.1 million for the prior year period. The decrease of $0.7 million was driven by acquisition-related legal expenses in the prior year period not reoccurring, offset by higher consulting expenses.  Loss from operations was $10.7 million for the first quarter compared to a loss from operations of $12.2 million for the first quarter of 2023. Net loss in the first quarter of 2024 was $6.2 million as compared to $6.8 million in the prior year. This was primarily due to a lower loss from operations, offset by lower other income, which was due to unrealized foreign exchange losses.  Adjusted EBITDA, which excludes stock-based compensation expense and foreign currency impacts, for the first quarter of 2024 was a reduced loss of $0.7 million compared to a loss of $2.5 million in the first quarter of 2023. This was due to higher revenue and gross profit. We are committed to continuing to improve our profitability going forward by driving revenue growth and controlling costs.  Cash from operations for the first quarter of 2024 was a positive $4 million, and total cash and marketable securities increased by $7.7 million in the quarter to $270.4 million. With healthy cash reserves, no meaningful debt and positive operational cash flow, we continue to operate from a position of strength and can fully support our global growth initiatives.  Now turning to our outlook for the full year 2024. Today, we are reiterating our 2024 revenue guidance, which we expect to be in the range of $203 million to $213 million, representing 5% to 10% growth over our 2023 total revenue, and this assumes no change in currency exchange rates. We started the year with the first quarter results showing a continuation of improvements in ordering trends which support our full year outlook. As we look ahead, we continue to expect modest growth across all our product and service lines, with most of that growth being weighted towards the second half of the year, consistent with historical spending patterns of our customer base. We expect that our 2024 revenue growth, combined with our ongoing cost control efforts, will position us to report positive GAAP net income for the full year 2024.  With that, I will turn it back over to Wenbin. 
Wenbin Jiang: Thanks, Bill. I want to express my gratitude to our exceptional Cytek team for their dedication to driving our mission forward. It is their unwavering belief in our mission, coupled with the effective execution of our business strategy, that positions Cytek as a frontrunner in advancing the next generation of cell analysis.  The increasing application of cell analysis in fields across health care, including immuno-oncology, infectious diseases and immunology has led to rising need for advanced cell analysis solutions. We are uniquely positioned to serve these attractive end markets as an industry leader in next-generation cell analysis solutions, underpinned by long-term recurring growth drivers in services and the reagents. I'm excited for our road map ahead to address this demand as we build competitive and the competitive solutions and empower scientists directly with the tools and the support they need to advance their research.  I want to thank everyone for joining today's call, and we will now open it up for questions. Operator. 
Operator: [Operator Instructions] Your first question comes from the line of Tejas Savant from Morgan Stanley. 
Tejas Savant: Wenbin, looks like a decent start to the year on both products and service revenue and placements as well. I wanted to ask you on your comments on China and Europe to start with. Could you just elaborate on what you're seeing there across your academic and pharma customer base, especially in China? And then in light of that recent stimulus program that's about to be rolled out over the next 3 years or so, is that starting to show up in your early customer conversations in the funnel just yet? And any anecdotal color you can share on potential benefit, perhaps not in 2024 but into 2025 and beyond would be great. 
Wenbin Jiang: Actually, in China, today, our current primary growth is from academic space, mostly in university and research institutions. Now regarding to your question on the incentive program, it's coming, but we haven't seen the benefit yet. We expect probably will help for the second half of the year. 
Tejas Savant: Got it. That's helpful. And then I want to ask you on reagent rentals during the quarter. In terms of just the order book, what fraction of the orders this quarter were reagent rentals versus upfront purchases? Any color on that? 
Wenbin Jiang: Reagent rental is a very small portion of our overall business. And of course, going forward, as we continue with providing to our clinical business, we might see the polymer impact for revenue to Cytek mostly on the reagent side. But it's just -- right now, it's still in the early stage. 
Tejas Savant: Perfect. And last one for me on just the competitive dynamics here. Are you seeing any heavier sort of price discounting from your next-gen flow peers, Sony, BD, et cetera, as the industry grapples with instrument purchasing headwinds and elongated sort of purchasing cycles, as you called out, at least in North America and APAC ex-China? 
Wenbin Jiang: We do start to see new players in this space. This is a reflection of our success regarding to driving the flow cytometry industry towards the full spectrum technology, which we pioneered 7 years ago. So previously, we're probably more trying to convert conventional into special. And now the whole industry is truly convinced this is the direction, this is the future. And Cytek is clearly a leader in this space in this technology. This is also reflected in just the finished CYTO meeting in Edinburgh. It's very exciting, and we are very encouraged with what we have seen over there. 
Tejas Savant: Got it. Super helpful. 
Operator: And your next question comes from the line of Matthew Sykes from Goldman Sachs. 
Unknown Analyst: This is Jake on for Matt. So you saw a sequential step down in organic revenue. Can we attribute that to seasonality in the quarter? And then can you also talk about how you're thinking about the pacing of growth throughout the rest of the year? 
Wenbin Jiang: I think I will let Bill to handle that question. 
William McCombe: I'm not sure I understood it, but our organic revenue actually increased substantially in this quarter compared to Q4 sequentially. It was increased from I believe around 1% to 11%. So we saw a meaningful improvement in organic revenue growth. As far as -- did I understand your question correctly? 
Unknown Analyst: Yes. Yes, you did. 
William McCombe: Okay. So that's the answer, meaningful uptick in organic revenue growth. And as far as revenue staging is concerned, look, I think we are still comfortable with the revenue guidance that we gave for the year. Obviously, that implies some quarterly revenue growth during the balance of the year. And we would expect that to follow a similar pattern to recent years. I think we're ready for the next question, operator. 
Operator: Yes. And your next question comes from the line of David Westenberg from Piper Sandler. 
David Westenberg: So welcome, William. And I'll just go ahead and pick on you since this is your first earnings call. So the margins missed the Street by a little bit. This is probably a lot to do with services and mix. And is some of this potentially also just the way customers are buying the instrument on more services contracts? And then with all that in mind, how should we think about gross margins the rest of the year just in terms of pacing? And could we be seeing, as we go into 2025/2026, maybe this reset to this level of gross margins? 
William McCombe: Thank you for the welcome and for the question. The decline in gross margin was due to a couple of very specific things. It did not -- there's no change in the way that customers are buying our product. It's not related to product mix or anything like that. It's two very specific factors. One of which was an unusual inventory adjustment. And as we mentioned in the press release or in the prepared remarks, this is something that was caused by the integration of Luminex inventories into the Cytek system. That had to be done. The inventories post-acquisition were -- a significant portion of them were held in a third-party warehouse and third-party ERP system. And when those were finally integrated into our system that was a manual process, there were literally thousands of SKUs, and there were just a few errors, a small handful of errors made. So it's a unique set of circumstances that we wouldn't expect to recur in the ordinary course. So that accounted for about 2% of the margin decline.  The balance related to overhead absorption. This is -- although overhead expenses were actually a little bit less than Q4, but broadly comparable, revenue was lower than Q4. So we had less overhead absorption, and that had a negative impact on margin. And as we mentioned, we would expect that to revert over the course of the year as quarterly revenue increases. So the one-timer on inventory, we would -- we do expect that that was a one-timer. And then the overhead impact, we would expect that that would ameliorate over the course of the year. 
David Westenberg: Got it. So the real way to think about the rest of the year is that 55% kind of number and maybe take it off from there or march from there? 
William McCombe: I don't want to be specific about margin guidance. It's not something that we've done. I would just say that we're -- certainly our goal is to get back to our historic gross margins. 
David Westenberg: Perfect. All right. Lots of great detail there. So just Wenbin, I think you said Asia and in Europe, you're seeing some of the return of capital cycle purchases. I just want to make sure I heard that correctly. And I think you were saying maybe this could be an analog to the U.S. and what might be happening in the U.S. or North America. I just want to confirm I heard that correctly. And can you elaborate a little bit on what you're seeing there and why you're optimistic in terms of that? 
Wenbin Jiang: What I'm saying is particularly in Europe and China, we are seeing purchasing coming back to -- returning to the normal previous way. And this actually started in Q4, which continued in Q1. That's very encouraging. On the other hand, we do see continued elongated purchasing cycle in the U.S. as well as APAC, excluding China. But we are going -- those order will return. And it's not a loss de minimis, and they will come back and they will close. We expect them to close. 
David Westenberg: Got it. Just on my last one, just in terms of customers using larger or the full potential of full spectrum flow cytometry. Are you seeing an increase of that usage? And when you are seeing an increase of that, are you seeing them order Cytek specific reagents? And just even a little bit more color on how you're seeing adoption in terms of reagents there. And that would be my last one. 
Wenbin Jiang: We are definitely seeing encouragingly across the industry, especially with pharmas. And they start to validate our instruments and harmonize our instrument across the organization. They are continuing to come back to expand the number of instruments they have across their organization. And so we are talking about users, when actually not a few -- in the whole organization, even hundreds of those users are on Cytek instruments today. So in some organization, very encouraging. 
Operator: And your next question comes from the line of Andrew Cooper from Raymond James. 
Unknown Analyst: This is Noah on for Andrew. So my first question is, you talked about instrument sales coming in where you thought they'd come in. Were you seeing any particular strength across particular instruments? So would that be the cell sorter and the higher end products? Or is that mostly from other places within the portfolio? 
Wenbin Jiang: Our strengths continue to be our flagship product, which is Aurora, which continue to grow. Of course, in meantime, we are going to focus more and more towards entry at the mid-level and to drive adoption across our product portfolio. 
Unknown Analyst: Awesome. And one more question. You guys launched the Orion reagent mixer in 4Q of 2023. And I understand that the dollars are going to be minimal. But have you seen any new doors open for the rest of the business because now you've had a full quarter selling and possibly seeing any reagent pull-through on that end? 
Wenbin Jiang: When a new instrument you've launched, the first thing is to come out to work with customers to validate with instruments before we are actually putting into production on the customer side. And we have seen very encouraging in the trends right now and the interest from our customer base. 
Operator: And your next question comes from the line of Mason Carrico from Stephens. 
Mason Carrico: First, given the funding environment and budget constraints that you're seeing, for customers that are interested in buying maybe one of your higher end instruments, are the majority of these customers -- I don't want to say majority, but for the customers that are delaying their purchases, are they simply delaying making that purchase? Or is there a trend of them maybe moving down the price continuum and buying perhaps the mid-tier instrument? 
Wenbin Jiang: I just mentioned, we continue to see greater interest on our flagship product, which is Aurora and the Aurora CS. So in that regard, and we don't really see much change regarding to how budgets will impact your buying behavior. But the elongated buying cycle is particularly related to the U.S. and the APAC region, which has been that way for quite a while. But it will all come. It just takes a longer time for them to make decisions. That's what we are seeing. 
Mason Carrico: Got it. Okay. And maybe kind of the opposite question here. But last quarter, you talked about seeing early success in converting existing Guava customers to your Northern Lights platform. Has that trend continued? And really, when it comes to your Northern Lights sales, how -- what proportion of those sales are going to existing Guava customers versus non-Guava customers? 
Wenbin Jiang: In the previous session, we did have mentioned that Guava customers do have their specialized needs, which today are not really being satisfied by the Northern Lights. This is because Guava, in particular, some of the platform is value-driven while Northern Lights is more designed for individual users with flexibility. And this is something we are working on on the software side to enable us to facilitate those needs from the Guava customers. We expect this eventually will be addressed by them and more other users will convert. 
Operator: And your next question comes from the line of Jacqueline Kisa from TD Cowen. 
Jacqueline Kisa: This is Jacqueline Kisa on for Steven Mah. Congrats on the approvals and the facility opening. Looking forward on your clinical progress, are there any specific clinical milestones you can expect to see on the horizon now that you've gained approval for your TBNK panel and reagents? 
Wenbin Jiang: Yes, absolutely. We expect to see continued growth to drive our reagent business. And of course, in the meantime, we hope that will also help us to grow our Northern Lights CLC instrumentation. But earlier, there was a question regarding to reagent rental, which will also be helpful because approved that TBNK will enable users to come back for our instrument to support that type of business model. 
Jacqueline Kisa: Great. And has the opening of the new facility driven any demand or customer conversations? And will the facility focus more on supporting clinical applications or more just provide support across the board? 
Wenbin Jiang: The facility is to support across the board for our product manufacturing, mostly instrument manufacturing. 
Jacqueline Kisa: Great. And if I could just sneak one more in. Late last year, you launched a software improvement on Northern Lights. Have you received any feedback from that from customers? And is there any room for similar product improvements on the rest of the portfolio? 
Wenbin Jiang: Well, actually, we do have heard encouraging comment from the customer with regarding to the new software, which enables those conventional instrumentations to manage the special features. In the meantime, reduce the kind of barriers to move from one platform to the other that I think we feel it's a great success. 
Operator: [Operator Instructions] There are no further questions at this time. Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.